Operator: Good morning, everyone. My name is Daniella, and I will be your conference operator. Welcome to Tiendas Tres B Fourth Quarter and Full Year 2024 conference call. All lines have been placed on mute to prevent any background noise. There will be a question-and-answer session after the speakers' remarks, and instructions will be given at that time. Please ensure that your full name is displayed correctly on Zoom. And if not, please take a moment to edit your display name. Also, please note this call is for investors and analysts only. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made during this conference call are based on information that is currently available to us. Today, we are joined by Tiendas Tres B's Chairman and Chief Executive Officer, Anthony Hatoum, and Chief Financial Officer, Eduardo Pizzuto. I will now turn the call over to Anthony. Please go ahead.
Anthony Hatoum: Good morning, everyone, and thank you for joining us on this earnings call where we're going to talk about our fourth quarter and full year 2024. I will begin with a review of our operating results and will be followed by our CFO, Eduardo Pizzuto, who will provide an overview of our financial performance and an outline for our guidance for 2025. We will conclude with a Q&A session to answer any questions you may have. I'm pleased to report another strong year and another strong quarter for 3B. We opened 138 net new stores during the fourth quarter and a total of 484 new stores for the full year. Same store sales growth for the fourth quarter grew by 11.8% compared to 4Q 2023, and for the full year grew by 13.4% compared to last year. Total revenues for the fourth quarter increased by 32.7% to MXN16.3 billion, and full year revenues increased by 30.3% to MXN57.4 billion. For the year, net cash flows generated by operating activity reached MXN3.749 million, a 19.4% increase year-over-year. We ended the year with a net cash position of approximately MXN1.4 billion. And in addition to that, we have about USD150 million that we've kept since our IPO last year. Let's turn to operational performance. Starting with store openings. We successfully accelerated our store opening, closing the year with a store count above our original guidance. As mentioned, we opened 138 net new stores in the fourth quarter, and for the full year, we opened 484 net new stores, a 21% increase over 2023. We continue to increase the density of our stores in the geographies where we currently operate. And at the same time, we are stretching to new geographies. And in 2024, we opened two new distribution centers. Moving on to revenues and same store sales growth. Total revenues for the full year were MXN57.4 billion, growing over 30% year-over-year. Not on the slide, our fourth quarter, we saw MXN16.3 billion, a 32.7% increase over last year. In the pink bubbles that you see at the bottom of this chart, we have same store sales growth, and for the year, we saw a 13.4% growth rate, and that's significant given the notable decrease in inflation. Going on to the next slide where we can look at quarterly same store sales growth and compare them to ANTAD's numbers. We continue to significantly outperform the ANTAD number throughout the year. In the fourth quarter, our same store sales grew by 11.8%, well above ANTAD's 2.6%. And even as the overall market appears to have slowed down in the second half of the year, our momentum has remained strong. And I think our strong value proposition is driving this. When the economy is slowing down and the cost of living is rising, that tends to play in our favor. Some of you will be familiar with the spaghetti chart, which we updated. These are the sales curves of our 2005 to 2023 cohort of stores. These numbers are adjusted for inflation. You will note that the newer cohorts of stores start with a higher sales level and grow faster than our older stores. And you'll note that no curve has yet flattened up. What is driving this is a continuous improvement in our value proposition to customers, and this happens when you scale because you drive costs down and you improve your private labels quality and features. So, as a result, you offer better value to your clients. The portfolio of products that you find today in our stores is significantly better than what you would have found in our stores five years ago. So, as a result, our existing customers buy more from us and we gain new customers. I also add that our brand 3B is getting stronger. Our clients know what we stand for and trust us more every day, and that helps our new stores start stronger. If we go into more detail, we see that our sales growth in 2024 was driven by both higher store traffic and increased ticket size. For our stores with five or more years of operations, we saw a 4.6% increase in the number of transactions per store per month and a 3.6% increase in the average ticket size. This growth was driven by the increase in value we offer our clients in big part from our private labels. And our private labels now represent 54% of our sales, up from 47% in 2023. I'll pass the mic now to Eduardo.
Eduardo Pizzuto: Thank you, Anthony. Good morning, everyone. SG&A as a percentage of revenue increased by 96 basis points, reaching 15.2% in Q4 2024. Here's a breakdown. Sales expenses rose 40 basis points from 11.3% to 11.7%. However, this includes approximately 47 basis points of non-recurring, non-cash expenses. Excluding these, sales expenses decline as a percentage of revenue. Moving on to admin expenses, increased by 56 basis points from 2.9% to 3.4%. And approximately 11 basis points are non-recurring cash expenses, mainly related to legal matters and preparing for our follow-on offering in Q1. Excluding these, admin expenses rose up 45 basis points. Now, this increase is mainly driven by hiring additional personnel to support our growth, public company expenses such as reporting and compliance, and expansion of our regional operations. In the first of 2025, we expect to record approximately about $2 million for our follow-on. Over time, we expect our admin expenses to decrease as a percentage of sales as we continue to build on a solid foundation for our future growth and comply with the public company requirements. Moving on to EBITDA and EBITDA margin. Our EBITDA for Q4 2024 reached MXN845 million or a 5.2% margin, which represents a 51% growth versus Q4 of last year. For the full year, EBITDA reached MXN2.8 billion or a 5% margin, which represents 51% growth versus 2023. I do remind you that we do not manage our business with an EBITDA goal in mind. EBITDA for us is a consequence of meeting our objectives of revenue, product contribution, margin, and lower cost as a percentage of sales. Moving on to negative working capital. As you can see from the chart, our negative working capital continues to be very strong. As of December 31, 2024, adjusted negative working capital represented 10.6% of total revenue. It continues to reflect our operational efficiency and the strength of our company. As mentioned in previous calls, this is a unique business model that generates a significant amount of cash. In 2024, we once again self-funded our aggressive growth, clearly demonstrating the strength and resilience of the hard discount business model. And finally, moving on to our guidance for 2025. We are operating under uncertain environment, but historically, 3B has performed well during economic downturns and periods of uncertainty, but also in economic upturns. And thus, we continue to grow strongly. For 2025, our same store sales guidance is between 11% and 14%; total revenue growth in the range of 26% to 29%; and we plan to open between 500 and 550 new stores. Overall, we expect a very strong year. I will now turn the call back to Anthony for closing remarks.
Anthony Hatoum: Thank you all once again for joining us today. Ours is a business that is robust and highly resilient in turbulent times. We thrive irrespective of economic scenarios. We are seeing strong growth across the board in sales, in same store sales, and we are seeing continued operational leverage, driven by scale and increasing operational efficiency. We continue to scale and execute with focus and discipline. We are doing what we have always done, only faster and better. And despite what appears to be turbulent times, we are confident that 2025 is going to be a strong year for us. Thank you. We'll now start the Q&A session. So, please go ahead, operator.
Operator: Thank you. We will now conduct a Q&A session with both Anthony and Eduardo. [Operator Instructions] Our first question comes from Bob Ford and Merrill Lynch.
Bob Ford: Hey. Good day, everybody, and thanks for taking my question. Anthony, in your commentary to shareholders in the press release, I was drawn to three words, right, expand, enhance, and improve. And with respect to expansion, how should we think about the balance of growth across new and existing trade areas this year? And how is your view on potential store densities evolving with respect to enhancing capabilities? Which capabilities are you focused on this year? And how much of the step up in the underlying cost structure is associated with new competencies versus compliance, control and simply growth support? And then lastly, when it comes to improving value propositions, how should we think about innovation this year, new categories, price gaps, and store surface levels? Thank you.
Anthony Hatoum: Thanks, Bob. Multiple questions. So, I'll start with the real estate one. We haven't seen any change in how we do real estate. We like to repeat that there's tremendous white space ahead of us. And so, our strategy, as you know, in real estate is a very -- it's a decentralized operation, and each regional CEO is in charge of doing their own search for stores where they are stretching distances a little bit from their distribution centers, while at the same time, backfilling and increasing density closer to this distribution center. And this approach has not really changed. So, what we're likely to see is the same again this year in 2025, more density where we are. And again, I see plenty of white space even in the areas where we operate and an expansion of the locations where we are currently just a stretch of these borders that, if you want to look at them this way, towards more new geographies where we're not operating today.
Bob Ford: And when it comes to the density view, is there any like -- as you drive greater density in your earliest markets, are you becoming more comfortable in terms of an equilibrium population combined with disposable income metric that may determine where -- how far you can go? Or are you yet to see that?
Anthony Hatoum: No. We have yet to see that, but then again, this plays to our favor. We have -- our sweet spot is so broad in terms of economic purchasing power and stores that we put in high-end neighborhoods have done extremely well. And so, when we look at, have we hit a limit on where we can put stores in the areas where we are present, we don't see it even in areas that are extremely dense and maybe harder to put stores in like Mexico City. So, again, I'd say no -- nothing that indicates that we've hit a -- we are about to hit a wall in terms of being able to increase the density of stores in areas where we operate.
Eduardo Pizzuto: Bob, you had a second question on a step-up cost. And I know you had a third question...
Bob Ford: It's enhancing capabilities, right? So, it was -- it's all driven by the commentary in the press release, and it was just the capabilities that you may be focused on this year. And then, how much of the step-up in the underlying cost structure is associated with new competencies versus all the regulatory requirements and compliance and controls or simply growth support?
Eduardo Pizzuto: Yeah. So -- yeah and as I mentioned in one of the slides, Bob, we do expect to continue to hire talent in 2025 across multiple areas of the company, actually several areas of the company. And so, we will continue to focus on talent density. As far as also compliance and controls, et cetera, we did a good investment in 2024. We will continue to do some investment in 2025. And then, as I mentioned before, we should expect that these admin expenses, over time, should trend down as a percentage of revenue. But we will definitely continue to invest in talent in 2025, Bob.
Bob Ford: Understood. And then, the last one was just on value propositions in terms of innovation, new categories, price gaps, store service levels.
Anthony Hatoum: Most of you are familiar that at any point in time, we are running up to 60 different tests of different products and categories, of which some of you have seen us run the test for fruits and vegetables and meats. And again, it's nothing new in what we do. We've always done that. We've done that when we launched cosmetics, we've done that when we launched frozen, and we're continuing to do this today. So, next things on the horizon are fruits and vegetables and meats. And again, they will happen when we're ready. But innovation is core to us and continuing to improve our value proposition on existing products is continuous. There is not a single year where we haven't either improved price or the quality of a product or the feature of a product that's important to our clients. And that in turn explains why we continue to see very strong same store sales growth even from our oldest vintages. So, as long as we're doing this, we will continue to see strong same store sales growth, and you can expect that in 2025, we're going to see also improvements across the board. And if we're ready to introduce new categories, they will be introduced in 2025.
Bob Ford: Thank you so much. Very helpful.
Anthony Hatoum: Thank you, Bob.
Operator: Thank you. Our next question comes from Joseph Giordano. Please state your company name and then ask your question.
Joseph Giordano: Hi. Good afternoon, Anthony and Eduardo. Thanks for taking my question. I would like to explore a little bit more the same store sales composition here. So, we see a very solid ticket component when we extrapolate that at what would be the proxy for mature stores. So, here, like, I wanted to understand, like, if you're being, like, how we should break it down? Like, so if it's more, like, capturing new clients, because when you think about penetration, we're still relatively low in the neighborhoods compared to other neighborhood supermarkets? Are you actually seeing a higher volume of visits? And when I go to the ticket side, we see kind of ticket inflation like growth, but what we have been seeing on the flip side is that penetration of private labels continue to increase. So, technically speaking, like, the average ticket would be down. So, I would like to understand how this basket size is actually behaving because part of the thesis is that, like, the customer will address more of your needs in your stores. Last but not least, like, not to take much of the time, like, we saw the huge gap that you opened versus ANTAD. We see ANTAD trading, like, a close to the muted growth in the first quarter. So, I'd like to understand, like, how you're seeing your performance, like, if this, like, 12% kind of same store sales level that we saw throughout the second half of the year is very likely to be maintained in this first half. Thank you very much.
Anthony Hatoum: Let me start, Joe, by answering your last question, whether same store sales growth will continue. I mean, it's a million-dollar -- the million-dollar question here in a sense that, we look conservatively at same store sales growth, and then we're always pleasantly surprised to see it be higher than what we thought it would be. And again, when we go down to what's driving this, it sounds a little bit trite, but I'll repeat. As long as we are improving the value proposition in our portfolio of products, we know that we're going to increase same store sales growth or at least maintain high growth rates the way you've seen them develop over 2024. And when we ask why, again, you -- then you refer correctly to number of tickets increases, which we also interpret as new clients coming into our store for the first time, even on our older vintages, and an increase -- a healthy increase in ticket size despite having very strong deflation this year. And when we look at numbers that you don't necessarily have access to, which are unit sales, kilos, items, et cetera, we see very -- a very robust increase. And of course, you mentioned it too, the fact that we sell more private labels and our private labels are priced lower. We need to be selling more units to compensate and to be able to generate the higher ticket size like you're seeing it today, reflected in these numbers. So, in summary, we believe that as long as we're improving the value proposition, we're going to see all these metrics either maintain or improve over time.
Joseph Giordano: Perfect. Thank you very much.
Operator: Okay. Thank you. Our next question comes from Andrew Ruben at Morgan Stanley.
Andrew Ruben: [indiscernible] I'd like to dig in a bit more on the store opening guidance as well. Maybe first the retrospective on 2024. As you mentioned, you came in above the high end of your initial store opening guidance. So, I'm curious if you could talk us through what the factors that were that enabled you to end up coming in above. And then, as we look to the guidance for this year, if you could talk through the scenarios that could drive you to be at the high or low end, and to the same degree, operationally, what do you see as the main bottlenecks for accelerating the pace even further? Appreciate it.
Anthony Hatoum: Sure thing. The three factors in opening stores, Andrew, are availability of real estate, availability of capital, availability of human resources at the level and quality that we want to have to operate stores. And I would say that capital is not an issue. Availability of real estate, as we've mentioned, white space is abundant. And then, if you look at more detail into real estate, you get something that is a little bit out of our hands, which is obtaining permits. And we've mitigated that by just increasing the pipeline of stores that we process at any one point in time. So, this is just to give you a little bit of context and background on what it -- what you're -- what we need to be able to open stores. And then, as you probably know, our operations for real estate are very decentralized. So, every region that we operate has its own real estate team, and we've published that. On average, each team has a throughput of about two stores per month in terms of stores opened. And as we open more regions, and we're expecting to open four more regions in 2025, you can expect to have four more new teams that are focused on opening stores. And these four more new teams, we expect would be also opening about two new stores per month for each of these regions. And that's how we can project and we project what we expect our new store openings to be in 2025. There's not much more to it, and it's been very consistent over the last year. So, we're confident that this is the number that we're going to achieve.
Andrew Ruben: Thanks, Anthony. Appreciate it.
Operator: Thank you. Our next question comes from Alejandro Fuchs at Itaú. And Alejandro, I believe you are on mute, so you may now unmute yourself.
Alejandro Fuchs: Thank you. Hello, Anthony, Eduardo, team. Thank you for the space for questions and congratulations on the results. Two quick ones from my end. First on the gross margin, wanted to see if you can elaborate a little bit, we saw an expansion this quarter of 20 bps. Maybe you can tell us a little bit how relationship with suppliers, private label and so on is going? And if you expect this trend to continue? And then, second, 2025, maybe a follow-up to Joseph's question, we're seeing a slowdown in consumption and economic activity in Mexico. I know you expect a very good year, right, given the format, but how are you seeing the competition? Anything that caught your attention during these first four months on the competitive landscape in the country, or are you seeing the trends very similar to the end of last year? Thank you.
Anthony Hatoum: So, the first part of your question was on gross margins. Again, it's worth going back and looking at what drives improvements in gross margin. And it's fairly straightforward as we scale, our purchasing power increases and efficiencies across the board increase. So, you have an improvement in the purchasing cost of the goods you're selling. And then, the question is, what do you do with this improvement? Do you pass it into gross margin, or do you pass it into price? And we've mentioned in previous calls that what we do for our private label, especially is we let the market tell us what the optimum decision is regarding to the percentage you go -- you put into margin and the percentage that goes into price, and that we do by continuous elasticity testing of all our products. What you will see over time, of course, is there's always a small part that goes into gross margin. So, you will definitely see an upward trend on gross margins over time, but as I've also mentioned in previous calls, quarter-to-quarter, you're going to see volatility in this gross margin. Over time, over a longer period of time, you'll see an upward trending slope. So, if you tell me if this is the number I expect to see in the next quarter, I'll tell you I don't know, but what I can tell you is that if you look at this trend over the next couple of years, you'll definitely see an upward trend. The second part of your question had to do with competition and slowdown of consumption or what appears to be a slowdown in consumption. We haven't seen it. You see it in our numbers. If there is a slowdown in consumption as has happened in previous downturns, we have been a net beneficiary of downturns. And in upturns, these clients tend to be extremely sticky and don't go back to previous purchasing habits. So, we thrive in a downturn usually. And in terms of competition, competition has always been healthy in Mexico, and it's one of the most competitive landscapes for grocery retail. And as you've seen, we've done extremely well over the years and have held our own. So, no big changes in competition, just continues to be strong and robust, and we continue to perform strongly and robustly.
Alejandro Fuchs: Very clear. Thank you, Anthony.
Operator: Thank you. Our next question comes from Ulises Argote at Santander.
Ulises Argote: Hey, Anthony, a lot of thanks for the space for questions here. One quick one from my side, and I was wondering if maybe you could elaborate there on the drivers behind the increase in the private label penetration we sold through 2024. And maybe if you guys could share some color on how this is evolving versus the business plan? And also, if you have any color as to how this could evolve or how we could expect this to evolve in the coming years? Thank you so much.
Anthony Hatoum: I think here, you might have the benefit of a time machine in the form of BİM in Turkey. And you can -- if you look at how their historical evolution has been in terms of private label, I think that would be a fairly accurate expectation of what the future might have for us. Now, in terms of what drives the increase of private label versus brands, it's very simply, the more value you're offering in your private labels, the more percentage of your sales you're going to see shifting towards the private label. There's nothing magical about it, except that, again, as you scale and as you're continuously improving the value that you offer in your private label, whether it's an improvement in quality, an improvement in a feature, an improvement in communication sometimes, an improvement in packaging, improvement, and therefore, an improvement in the value proposition, customers are going to consume more of the private label, and therefore, you'll see an increase in the penetration. It's as simple as that. And as long as our efforts to scale and our efforts to improve private labels don't stop, you'll see this number increase.
Ulises Argote: Very clear. Thanks so much for that, Anthony.
Anthony Hatoum: Thank you, Ulises.
Operator: Thank you. Our next question comes from Daniela Bretthauer at HSBC.
Daniela Bretthauer: Hi. Good morning, everyone. Thanks for taking my question, and congrats on the results. I was wondering if you could share with us the level of expenses that you understand to be optimal as a percentage of sales because you are growing sales quite fast, but you're not maximizing your operating leverage or your margins because you've been investing in the structure to support this growth. But just to clarify, the selling expenses, one-off was MXN77 million and for G&A was MXN18 million?
Eduardo Pizzuto: Hi, Daniela, thank you for your question. On your first -- I'll start with the latter question. It's about $18 million on -- and $67 million on the numbers that you just mentioned. On your first question, expenses as a percentage of sales, I think we need to look at it on the two buckets that we have. One, on the one side, we have selling expenses. And if you look at the numbers, even on an annual basis, and that's the way we like to look at it not necessarily on a quarterly basis, but on an annual basis, these do come down as a percentage of sales. As we've mentioned before, the one thing that we look as management is every line item should go down as a percentage of sales, and that's the case. That's been happening and we expect that to continue to happen. And the reason for that is, as we continue to scale up, as we continue to increase our sales and as we continue to maintain and sustain a very efficient operation at the store level and a DC level, we should expect to increase our leverage. Then, if we look at a second bucket, which is admin expenses, as I mentioned earlier, yes, we do invest and we will continue to invest in talent. We think that this is the best way to continue our solid foundation for growth. And that will happen -- and that will continue to happen in 2025. And as I mentioned to Bob, this, we do -- we should expect that over time, this number will come down as a percentage of sales. We believe that investment in talent is an important topic. We've always mentioned that HR is a critical function for us, and we will continue to invest in that. We also expect that as I mentioned, that eventually these numbers will continue to come -- will come down as a percentage of sales.
Daniela Bretthauer: Thank you. And if I may add a follow-up question on the level of tax rate that we should work in our models going forward because that's been quite volatile, and it may have to do with the currency or not. So, I just wanted to get some insights on that as well. Thank you.
Eduardo Pizzuto: Yeah, of course. On the tax rate, Daniela, I think the best way to look at it in is to look at it from -- it's two-fold. First of all, the income tax or taxable profits are at the Mexican level -- the Mexican operating companies. So, the suggesting would be to strip out all the expenses that are not on the Mexican level. That is -- if you look at previous periods, we have the promissory notes, but now we have the -- also we have the ESOPs and the foreign exchange. If you strip these two out, and apply the 30% rate, you will get a pretty good idea of what the tax rate should be. That's my suggestion and how we look at it. And then, on your second question on -- by the way, we will -- in the coming weeks, we will publish our 20-F. And in it, you will have much more detail on the tax calculation. And if you have any questions, we can gladly jump in a call. You're welcome for that.
Daniela Bretthauer: Wonderful. Thank you.
Eduardo Pizzuto: And then, on the -- your second question was on FX. So, the FX -- the positive impact that we had is because of the amount in US dollars that we kept in our accounts since the IPO. And that is the effect that you're seeing -- mostly that is the effect that you're seeing there.
Daniela Bretthauer: Thank you so much.
Eduardo Pizzuto: Thank you, Daniela.
Operator: Thanks. Our next question comes from Froylan Mendez at JPMorgan.
Froylan Mendez: Hello, guys. Thank you very much for taking my question. Just one question for you guys. How big of a game changer you think is for the penetration of the hard discount model in Mexico is bringing the ultra-fresh to the shelf, I mean, mainly fruit and vegetables? And in that sense, what needs to happen to scale this category in a margin-neutral basis?
Anthony Hatoum: Hi, Froylan, I'll take this one. The first part of the question, what does it take to launch this, right? And the same with any category that we've ever launched or even any product that we've ever launched, we need to make sure that it meets our criteria, which basically are a great value proposition to our customers and extremely efficient in terms of operations. So, in the case of fruits and vegetables, if we ever were to launch it, then we want to make sure that not only facing the customer, it's great, and it rotates, but then everything on the back end of the operation is working perfectly. And until we have that ironed out and working perfectly, you won't see it. And of course, you won't see it if it's not value accretive or if it's not a positive -- it doesn't have a positive impact on our operations. We're not interested in losing money on anything. And let me caveat all of this by saying the business remains extremely successful stand-alone without fresh fruits and vegetables and without meats. And we've never included any of these categories in any of our projections going forward. So, if it does happen, it's just icing on the cake for everybody.
Froylan Mendez: Thank you, Anthony.
Operator: Thank you. Our next question comes from Jorge Izquierdo at BTG Pactual.
Jorge Izquierdo: Hi. Good morning, everyone. Thank you for the space for questions. My question is on private label penetration. We saw a nice increase during 2024. And I would like to know how we should think about fresh products within the sales mix going forward. I mean, my specific question is, should we consider the fresh category as part of private label sales? Any comments you could share would be helpful. Thank you very much.
Anthony Hatoum: Again, I'm going to answer this theoretically because we have not given any indication that we will be launching fresh fruits and vegetables at any point in time. All we said is we're testing them the same way we've tested -- we're testing at this point around 60 different products and categories. Back to the question of whether this is a private label or not, just assume that it is, right? Because I don't see -- in fruits and vegetables, I don't see branding playing a big role. It's more the same where you are just wanting to offer as much value as possible in that fruit and vegetables that you put on the shelf to ensure that it rotates and to ensure that all the operations behind it are extremely efficient. The same way we do when we're developing a private label can of beans, exactly the same. So, yeah, I don't know, if you have to put it in one bucket, put it in the bucket of private label.
Jorge Izquierdo: Thank you, Anthony.
Operator: Thank you, all. We have received a written question since this participant could participate in the call. This is from Hector Maya at Scotia. Hi, Anthony, Eduardo, thank you very much for the call. Some of my questions have been answered already, but I just wanted to understand for context. Considering the current conditions, what kind of planning discussions are you having right now with your suppliers on how to tackle the rest of the year, particularly on the development of new product lines, just to see if the uncertainty is shifting or altering your plans there? Or maybe if there's any opportunity to grow your relationship with suppliers throughout tough times? And also, if services like remittances could be coming soon, or if that would still be something that would come up more in the distant future? Thank you.
Anthony Hatoum: Okay. Thank you for that question. I'll start with the latter part, which is services. And the best way to think about remittances or any other services, 3B is a platform, and it's a platform that touches its client with a touch frequency that is very high, on average, 3 times a week. And this client not only needs grocery products. And so, whatever else that client needs could be game in terms of offering it to them as long as it meets our key criteria, which are value for money, efficiency, high rotation. And again, as I mentioned previously, not interested in doing any business that doesn't make money. So, it's on the table. And in the vast list of opportunities that we face. We, of course, go for the ones that have the biggest impact and the lowest hanging one. And then, we start looking at the ones that are further out. And so, I cannot tell you where remittances fall on that list, but I can say that it's definitely on the list. Now, in the second part of your question -- the first part of your question, you asked -- how do we manage our suppliers and the relationship with suppliers. I would tell -- I would start by saying that what we're seeing today, what we'll see in 2025 has already been discussed with our suppliers a long time ago. And what we do now is basically looking at the future two to three years down the road with our private label suppliers. And the current uncertainty in the markets whether it's because of uncertainty in interest rates or funding or whatever have already been taken care of for this year. So, we don't -- honestly, we don't see any major impact from the current volatility that we might be experiencing in 2025. It's all been planned a long time ago.
Operator: Perfect. Thank you so much.
Anthony Hatoum: Thank you, Hector.
Operator: And we have time for one last question. This is from [Pablo Valles] (ph) at Summit Management. I'm sorry, I think we're not getting your audio. Pablo, could you try that microphone now, please, because I believe you're not on mute. I'm sorry. I think we're not getting your audio.
Anthony Hatoum: Let's go to the next question, and then we can come back to Pablo.
Operator: All right. Please hold.
Anthony Hatoum: Operator, have we been able to get online?
Operator: Pablo, could you try that out one more time, please?
Anthony Hatoum: Did we get Pablo's question, operator?
Operator: No, it's not coming through. So, we can conclude the call.
Anthony Hatoum: All right. Pablo, please, feel free to send it by e-mail, we'll be happy to answer.
Operator: Any further questions can also be sent out to the IR team, but I will hand the call back over to Anthony Hatoum for his closing remarks.
Anthony Hatoum: Again, thank you all. Thank you, investors. Thank you, analysts, for your continued support and confidence in our strategy. And we're very open to receiving your questions after this. So, please feel free to reach out to us. And also, welcome to come and visit us any time. Thank you again, and we'll be talking again soon. Bye-bye.
Operator: That concludes today's call. You may now disconnect.